Angela Kleiman - President and CEO:
Barb Pak - CFO & EVP:
Rylan Burns - EVP and Chief Investment Officer:
Operator: Good day, and welcome to Essex Property Trust's Second Quarter 2024 Earnings Call. As a reminder, today's conference call is being recorded. Statements made on this conference call regarding expected operating results and other future events are forward-looking statements that involve risk and uncertainties. Forward-looking statements are made based on current expectations, assumptions, and beliefs, as well as information available to the company at this time. A number of factors could cause actual results to differ materially from those anticipated. Further information about these risks can be found on the company's filings with the SEC. It is now my pleasure to introduce your host, Ms. Angela Kleiman, President and Executive Officer for Essex Property Trust. Thank you, Ms. Kleiman. You may begin.
Angela Kleiman : Good morning, and thank you for joining Essex's second quarter earnings call. Our pack will follow with prepared remarks, and Rylan Burns is here for Q&A. We are pleased to report a strong second quarter, with core FFO per share exceeding the high end of our guidance range by $0.05. As a result, we have our second notable increase to our full-year guidance. Today, my comments will focus on underlying drivers to our outperformance and operational highlights, followed by an update on the investment market. Starting with operating fundamentals. Year-to-date, demand for West Coast multifamily housing has exceeded our expectations, particularly in Northern California and Seattle regions. While we've traditionally relied on the BLS to assess housing demand, the reported data have not correlated to the strength we're experiencing on the ground. As such, we've analyzed alternative demand indicators from third-party sources for better insights into the key drivers supporting housing demand. The first of these is job openings at the top 20 technology companies. In June, openings in the Essex markets totaled over 17,000 jobs, which represent a 150% increase from the 2023 trough. While we have yet to return to the historical average of 25,000 jobs, the steady improvement so far has generated incremental demand in our markets and is a good precursor of the recovery, particularly in Northern California and Seattle. Another factor contributing to West Coast housing demand is migration. Real-time data using Placer AI shows a gradual improvement in domestic migration patterns on the West Coast. This is illustrated on page S16.1 of our supplemental. This data suggests that workers are relocating back to the coastal headquarters, generating a shadow demand similar to a new job being added. Additionally, this year, Northern California has positive net domestic migration for the first time since pre-COVID. As for supply dynamics, limited new housing combined with favorable rental affordability continue to underpin our market fundamentals. For example, the rate of income growth has outpaced rent growth, which has improved affordability metrics in our markets. Additionally, it is 2.8 times more expensive to own than to rent in our markets today, compared to 1.7 times back in 2019 when interest rates were near the historical low. Even if mortgage rates were to revert back to the 2019 level, homeownership in our markets will still remain significantly less affordable than renting. Turning to property operations, we experienced a solid peak leasing season with blended rent growth for same property portfolio of 3.4% for the quarter. Blended rent growth would have been 4.5%, so 110 basis points higher if we exclude LA and Alameda, the two counties with elevated delinquency-related turnover. As for regional highlights, Seattle has been our best-performing market today, achieving a 4.9% blended rent growth while maintaining strong occupancy level of 97% in the second quarter. The east side, which has been less impacted by supply than the CBD, led this region with 5% blended rent growth. There are two key factors that contributed to this strong performance. First, relative to our other regions, Seattle has the strongest job growth. Second, the new supply has been less impactful as timing delays resulted in fewer deliveries in the first half of the year. These two factors have led to a prolonged seasonal peak, in that this market typically peaks around late June, but this year the peak occurred a month later, around the end of July. Northern California was our second best-performing region, achieving a 3.3% blended rent growth in the second quarter, an occupancy of 96.3%. San Mateo and San Jose were the notable outperformers at around 4% growth, with Alameda County pulling down the regional average by 80 basis points due to delinquency turnover and the continued elevated supply in Oakland. Generally, rents in this region peaked around early July, consistent with historical patterns. Lastly, Southern California continues to be a steady performer. We achieved 2.8% blended rent growth for the quarter, which would have been 200 basis points higher if we were to exclude LA. In similar fashion, Southern California's average occupancy of 95.7% for the quarter was tempered by Los Angeles, with all other markets at or above 96% occupancy. Excluding LA, Southern California's rents peaked in late July, consistent with historical patterns. As we begin the third quarter, our portfolio is well-positioned, with average concession of less than two days, and occupancy is healthy at 96.2%. We are prepared to shift to an occupancy strategy as appropriate, while maintaining the optionality to minimize rental growth. Finally, on the transaction market, in the second quarter, there was a significant increase in investor demand for well-located, newer multifamily properties on the West Coast. In contrast, the number of marketed properties for sale remained low. This combination has resulted in a highly competitive bidding process, and a compression in cap rates in some markets. Over the past few months, Essex has selectively procured three high-quality communities in the Bay area. All three of these investments have significant upside potential, based on the favorable fundamental backdrop and efficiencies from our operating platform. We are pleased with the progress to date, with over $500 million in acquisitions closed, and are optimistic more opportunities will arise in the near future. As always, we remain disciplined and focus on maximizing shareholder value and enhancing the growth profile of the company. With that, I'll turn the call over to Barb.
Barb Pak : Thanks, Angela. I'll begin with comments on our second quarter results, followed by the key components of our full year guidance raise, and conclude with an update on the balance sheet. Beginning with our second quarter results, we are pleased to report core FFO per share of $3.94, which exceeded the midpoint of our guidance range by $0.11. The outperformance was primarily driven by $0.05 of higher same-property revenues, which was largely the result of stronger net effect of rent growth. In addition, this quarter benefited from $0.04 of one-time revenues and lower operating expenses, which are timing related. Turning to our full year guidance revision, our strong second quarter results and healthy peak leasing season have enabled us to increase the midpoint of our same property revenue growth by 75 basis points to 3%. Our improved outlook is largely driven by blended rent growth outpacing our initial forecast, resulting in a 50 basis points increase to revenue growth. We now forecast blended rent growth to be 120 basis points higher than our initial forecast, driven by outperformance in Northern California and Seattle. As for same property operating expenses, higher utility costs and legal fees are the primary drivers of the 50 basis points increase in our midpoint to 4.75%. As it relates to controllable expenses, we have been effective in managing this aspect of the business despite the elevated cost environment. For the year, we expect controllable expenses to increase less than 3%. In total, we now expect same property NOI to grow by 2.3% at the midpoint, representing a 90 basis points improvement to our prior guidance and 170 basis points improvement from our initial outlook. Based on our strong second quarter results and the revision to same-property growth, we are raising full-year core FFO by $0.27 to $15.50 per share, which represents 3.1% year-over-year growth. In total, we've raised core FFO a notable $0.47 per share so far this year. As it relates to our third quarter guidance, we are forecasting $3.87 at the midpoint. The sequential decline from the second quarter relates to two factors. First, same-property NOI is expected to be $0.05 lower, which is driven by elevated operating expenses given the typical seasonality and spending for repairs and maintenance, taxes and utilities. And second, we had $0.02 of one-time items in the second quarter. Turning to the preferred equity portfolio. For the year, we expect between $125 million to $175 million in redemptions, of which we received $50 million to date. Our intention is to redeploy the proceeds into acquisitions depending on market opportunities. In terms of the watch list, we started the year with five properties on the list, of which three have been removed so far to date. Two of the properties were acquired and consolidated on our financials, and one of the investments had a significant equity infusion, which puts us in a better position in the capital stack. In total, the reduction in the watch list added approximately $0.04 to our full-year core FFO. The rest of the portfolio is performing as planned. Finally, our balance sheet metrics remain a key source of strength. We have no remaining consolidated maturities in 2024, our leverage levels remain healthy with net debt to EBITDA at 5.4 times, and we have over $1 billion in available liquidity. As such, we are well-positioned to capitalize on opportunities as they arise. I will now turn the call back to the operator for questions.
Operator: [Operator Instructions] Our first question comes from the line of Austin Wurschmidt with KeyBanc Capital Markets. Please proceed with your question.
Austin Wurschmidt : Hi, and good morning, everybody. Angela, you mentioned that you're prepared to shift to an occupancy strategy, so just curious if we should view kind of the pullback and renewal rate growth in recent months as a tactical move to drive occupancy, or are you getting some pushback on the increases and kind of seeing retention moderate? What's sort of driving the pullback? Thanks.
Angela Kleiman: Hey, Austin. Good to hear from you. This is more in line with our approach to address seasonality in our business, and so typically as we approach the seasonal peak, we would push on rents, and now as we shift toward the seasonal, you know, slower time of demand, we start to migrate toward occupancy, ultimately, the goal is to maximize revenues. So it's not so much of anything we're seeing that is, you know, any red flags on the fundamentals. It's more of how we normally run our business to maximize rents and revenue.
Austin Wurschmidt: Got it, and then could you break out how new lease growth has trended across the three regions as you get into July, and just curious where you're seeing kind of the most moderation and what's kind of holding stronger, maybe a little longer than you would have anticipated? Thanks.
Angela Kleiman: First thing, so on the new lease rates, net effect new lease rates, we are seeing Southern California holding steady, slight deceleration, but, you know, nothing material like 10, 20 basis points. Northern California is the more deceleration, about 200 basis points, and then Seattle about 50 to 60 basis points of deceleration. And once again, on the new lease, you know, activity here, it's pretty much what we had expected. There's nothing here that's giving us any alarm. This is normal business, you know, with us. Normally, Northern California peaks earlier than Southern California, and so this is on plan.
Operator: Thank you. Our next question comes from the line of Eric Wolfe with Citi. Please proceed with your question.
Nick Joseph: Thanks. It's Nick Joseph here with Eric. Maybe just following up on that pricing strategy, but more specific to LA and Alameda, you know, are you getting closer to the point where you can be pushing pricing more right now, or do you need to get to a certain occupancy level first?
Angela Kleiman: That's a great question, Eric [ph]. We are not quite there on LA Alameda in terms of our operating strategy. We pretty much ran a occupancy-focused strategy starting late last year that has continued throughout the year. We've been able to kind of switch back and forth a little bit, but it really didn't last long. At this point, we made really good progress on delinquency, and essentially, it improved by almost 50%. We reduced by another 50% from beginning of the year, so we're making good traction there. We probably will not be able to have pricing power until we get through the rest of this year in LA and Alameda.
Nick Joseph: Thanks. And then just on your gross bad debt, it looks like it came down to 80 basis points in July. Is your expectation that it will hold around this level for the rest of the year?
Barb Pak: Hi, Nick. It's Barb. Yes, our guidance has about 1% baked into the rest of the year. Remember, the number can bounce around month to month, but we're pleased with the progress that we've made so far and feel comfortable that we'll continue to make progress. If we do make more progress in the 80 basis points, I'll just be upside to the high end or be to the high end of the guidance range.
Nick Joseph: Makes sense. Thank you very much.
Operator: Thank you. Our next question comes from the line of Josh Dennerlein with Bank of America. Please proceed with your question.
Steven Song: Hi, this is Steven Song on for Josh. Thanks for the time. And then my first question is on the bad debt assumption. Seems like that's progressing better than expected so far. I wonder if you can give more color on how it will trend for the second half.
Barb Pak: Yes, this is Barb. It is a difficult number to predict because it does bounce around month to month, and we are pleased with the progress. Keep in mind, we did take that -- we did increase our guidance in the first quarter by 40 basis points because we did lower bad debt to 1.1% for the full year. And through July, we are at 1.1% year-to-date. So we're in line with our forecast. And we do expect -- we're working hard to make progress, but it does depend on when tenants leave and when the courts process evictions. And so it's a little out of our control. So we've got 1% budgeted in the back half of the year.
Steven Song: Okay, got it. That's very helpful. And then my second question is on the concession. If I hear this correctly, you said it's less than two days across the markets. I wonder, like, whether you separate that -- you can separate that for different regions and how that's trending so far?
Angela Kleiman: Yes. We have that detail, concessions. So generally speaking, so Southern California has a heavier concession in L.A. for the most part, no surprise there. And Northern California concession environment is driven primarily by Oakland because of the higher -- the elevated supply. And so Southern California DQ with L.A. and Northern California, Oakland with supply. And those are the two primary drivers of higher concession levels. But ultimately, we're talking about, say, closer to for five days in those areas versus rest of the region where Seattle has essentially zero and everywhere else around one to two days. So that averages to the two days in July.
Steven Song: Okay, got it. Thank you so much.
Operator: Our next question comes from the line of Steve Sakwa with Evercore ISI. Please proceed with your question.
Unidentified Analyst : Hi. This is Sanket on for Steve. We were looking at the same-store revenue guidance that you guys updated. And we were just surprised that you didn't update like -- you didn't raise the low end more because year-to-date, you guys are trending at 3.5%. So we were just curious about how do you get to low end or in the lower range of the guidance range in terms of same-store revenue?
Barb Pak: Yes. This is Barb. Yes, there's a lot of factors that go into it. And at the low end, it just does depend on how steep the decline is in the back half of the year in terms of the peak leasing season. We expect a normal season, but we've seen air pockets in the past. And so that factors into the low end, and that could impact occupancy and concessions. And then delinquency has been a wild card. It feels like it's less of a wildcard this year. But once again, that is something where we've seen blips every now and then. And so those are the factors that really led to the low end where it is. But we feel very comfortable with where our midpoint is at this point.
Unidentified Analyst : Okay. And if -- as a follow-up, are you guys sending out renewals for the month of August and September?
Angela Kleiman: Yes, for sending out renewals at around low 4% portfolio-wide. And based on the negotiations that we're seeing, we'll probably land somewhere between mid-3s to high 3s on the renewal side.
Unidentified Analyst: Okay, that’s helpful. Thank you.
Operator: Our next question comes from the line of Nicholas Yulico with Scotiabank. Please proceed with your question.
Daniel Tricarico : Hey, good morning team. It's Daniel Tricarico on for Nick. Can you talk to your expectations around pricing through the back half of the year with respect to your comments on a normal seasonal pattern and pricing peaking later than typical? And would you say there's any conservatism in the new guide related to any macroeconomic or political related factors?
Angela Kleiman: That's a great question. Well, let's start with -- we have expected that full year our blended rents will be about 2.7%. And we achieved 2.9% in the first half. So there's an implied deceleration about 35 to 40 basis points and this is actually quite moderate. It's not seem to be nothing to be concerned about. But aside from what's going on out there in the political realm, the key drivers to our anticipation is really that we have tougher year-over-year comps. So last year, our seasonal peak actually occurred one to two months later, Northern California, a month later and Southern California two months later. And so that tougher year-over-year comp is a primary driver. And then the secondary factor is the renewals ultimately will converge toward market rate over time, and that's normal.
Daniel Tricarico: Very helpful, Angela. My follow-up is you've been a bit more active in the transaction market and with your JV partners recently. Obviously, it seems to imply a vote of confidence in your markets. You also mentioned the competitive bidding and compressed cap rates. So just curious if you're considering any new on-balance sheet development today with the supply and demand outlook you're communicating?
Rylan Burns : Yes. This is Rylan here. It's a good question. I'd say working in our favor, we've started to see hard costs come down a little bit from a year ago. The vast majority of development that we underwrite, however, does not meet our return expectations. We're looking for a significant premium to where we can go purchase today given the risk inherent in development. But I would say the trends are favorable, and we are pursuing several opportunities that could lead to an increase in our development pipeline in the near future.
Daniel Tricarico: What would be the spread you're targeting versus market cap rates?
Rylan Burns: Yes, it's case-by-case dependent, but a general rule would be in our markets today for a shovel-ready site entitlements. We'd be looking for at least 100 basis point spread to where we can go and buy a comparable product.
Daniel Tricarico: Thanks, Rylan.
Operator: Our next question comes from the line of Brad Heffern with RBC Capital Markets. Please proceed with your question.
Brad Heffern : Yes. Thanks. Hi, everyone. So for L.A. and Alameda, when you do get pricing power back, do you see those markets just returning to kind of a normal level of growth? Or should there be some sort of catch-up given incomes have gone up much more than rent has gone up?
Angela Kleiman: That's a great question, Brad. I think that's going to depend on demand. So how quickly do we see job acceleration as we return back to that normal state to the pre-COVID level. And so fortunately, for us, we don't need much, right, given such low level of supply and which is one of the reasons we've been able to produce solid results, even though we are in a low demand growth environment. But the magnitude, if we're talking about, will be really dependent on job growth.
Brad Heffern : Okay. And then, Barb, on the new guidance, I think the fourth quarter implied core FFO number is down slightly from the third quarter. Normally, the seasonal pattern with you guys is that the fourth quarter is the highest FFO quarter. So I'm just curious if there's something that's offsetting that? Or are there something timing-related that's falling into the fourth quarter?
Barb Pak: Yes. It's most of the timing on the preferred redemption. So we've got $50 million to date. Most of that occurred in July. And then the rest of it is slated for beginning of the -- end of the third quarter, beginning of the fourth quarter. So we'll see the biggest impact from those redemptions then, and that's what's causing that anomaly.
Brad Heffern: Okay. Thank you.
Operator: Our next question comes from the line of Haendel St. Juste with Mizuho Securities. Please proceed with your question.
Haendel St. Juste : Thanks for taking my question. I was intrigued by some of the comments you made about seeing positive migration into Northern California for the first time since I think pre-COVID and hearing more of employees enforcing return on office mandates. So I guess I'm curious, are you seeing that translating at all into more demand or applications, anything tangible that you can point to. And if that's perhaps something that could drive perhaps some rent or any upside over the next couple of quarters?
Angela Kleiman: Haendel, that's a great question. Ultimately, we're seeing pricing power and that's translating to our outperformance and you've seen us raise guidance twice and primarily driven by demand because we've always seen that having that low supply environment, we're in a really good position here. As far as where that's going to land, it's hard to say because it depends on the weight of the return. And so just to give you some data points, during COVID, about 400,000 people migrated out of our markets. And what's interesting is the majority of the out migration was to tertiary markets within Washington and California. And so say about a third, 35% of them actually went out to the Sun Belt and East Coast. And so what we're seeing right now is about 1.25 of that has returned. So about 100,000 has come back. And it's generally in line with that proportion of one-third out of Washington and California and two-thirds within the tertiary markets. So there's still some legs here. The question here is when and how much. And that is -- we just don't have enough visibility on the timing about that one.
Haendel St. Juste: Okay. No, I appreciate that. And I guess we'll be watching. And I think you also mentioned -- I guess, there was an earlier question about transaction activity. And I think you mentioned in your comments that you bought assets with some occupancy or perhaps some repositioning upside. So I guess I'm curious overall just to the state of seller psychology in the marketplace. Are you seeing more potential sellers willing to engage the assets that you're underwriting, what IRRs are you looking for and your overall level of interest in deploying more capital and what cap rate range you're broadly seeing in the market?
Rylan Burns: Hi, Haendel, this is Rylan here. Several questions in there. So if I forget one, please follow up. But in general, we've seen volumes pick up in the second quarter compared to a year ago as well as the first quarter. Cap rates are fairly consistent across our markets for high-quality, well-located buildings in the mid- to high 4 cap range. So we are looking for unique opportunities that we can put it onto our operating platform and generate some additional accretion just from operating a little bit more efficiently. We're always looking for ways that potentially can add incremental yield on the top line. So we are, again, pretty excited about the investments we're able to make in the second quarter. The one that was noted at the Elan was a high 4 cap. We're expecting some additional benefit from putting it onto our operating platform. This is a building probably 20% discount to replacement cost and with rents that are about 15% low pre-COVID levels. So those -- given our fundamental outlook for some of these submarkets, if we can find more opportunities like that, we will pursue as we have always aggressively but with great discipline as well.
Haendel St. Juste: Any color on potential the IRRs that you're underwriting?
Rylan Burns: Yes, I don't want to provide too much detail just for competitive reasons, but back of the envelope math would suggest that these are above 8.
Haendel St. Juste: Okay. I appreciate that. And last one, if I could squeeze one in. Just broadly, if you can give us a sense of where the loss or maybe gain to lease is across the major regions of the portfolio?
Angela Kleiman: Sure, Haendel. For you, yes, you could squeeze another one in. So July loss is about 2%. And so it's certainly a good position, especially when we compare to last year July, it's a 50 basis point improvement. Last year, July was only at 1.6%. So things are moving in the right direction.
Operator: Our next question comes from the line of Adam Kramer with Morgan Stanley. Please proceed with your question.
Adam Kramer : Hey, guys. Thanks for the questions. I wanted to ask about competition from new supply in the market. I think looking at the kind of supply disclosure in the supplemental, really helpful, by the way. And it looks in multifamily supply is maybe lower than it was in the prior disclosure, but that there may be kind of more single-family new supply in kind of the way that you guys tabulated. So just wondering if you've kind of seen that have any effect in the market kind of competition from great or new single-family supply.
Angela Kleiman: It's Angela. The best indication of new supply competition is looking at our concessionary activities. And with where we are today at two days and the concessionary environment has progressively improved over the past six months. We certainly are not seeing competition from the single-family side.
Adam Kramer: Got it. That's helpful. And I just wanted to ask about kind of modeling and puts and takes with regards to the kind of the pref equity investments and then kind of buying those assets out. I know you did one in the quarter, maybe on subsequent to the quarter end. So just wondering how to think about kind of the trade-off there, right? You're buying needs a kind of fairly tight cap rates and you're losing yield that's a bunch higher. But just kind of the modeling puts it takes or how to think about kind of the short-term impact in terms of kind of gain of NOI and maybe lost equity income.
Barb Pak: Yes. This is Barb. And I might have to follow up after with the puts and takes on that. What I will tell you is that on the two investments that we didn't acquire and we had preferred equity on, there was -- we originally forecasted in our guidance for 2024, no FFO impact. And so by buying them out, we actually gained about $0.01 for this year in terms of core FFO because we didn't have any preferred equity income baked into the model given they were on the watch list and given where values were at the end of last year, we took a conservative approach on accruing on those two. And so net-net, it did add about $0.01. So -- but I can follow up with you after and go through the NOI and the other various metrics.
Adam Kramer: Great. Thanks for the time.
Operator: Our next question comes from the line of Jamie Feldman with Wells Fargo. Please proceed with your question.
James Feldman: Thank you for taking the question. I guess maybe a question for Rylan. It sounds like you're getting more active on potentially the acquisition front. Your markets are at the leading edge or in the headlines probably the most in terms of rent control regulation. Obviously, Prop 13 is always out there. How do you underwrite potential long-term rent growth or at least handicap those risks to the top line and I guess the expense line? As you're looking at new assets going forward, especially given big election coming up and a lot seems to be on the table.
Rylan Burns: Jamie, yes, that's a fair question. I mean, at a high level, we believe the -- the cost of Hawkins regulations coming up this November. Again, we can go into some more detail. But historically, that has been resoundingly defeated and there's our base case that, that is going to happen again this year. Now we will look at -- there are specific submarkets that have rent control and that occasion will propose specific rent control, and we'll certainly factor that into our rent growth assumptions. But at a high level, our expectation is driven by our economic research model, and we are not anticipating any change to statewide rent regulation in the near term.
James Feldman: Okay. So you'll underwrite greater than 5% growth over the long term across any of your markets?
Rylan Burns: Assets, it's all on a case-by-case basis, but that's certainly feasible. And given AB-1482 that is certainly achievable. So we know that that's certainly possible. I would say, a possibility that is not our base case typically when we're looking at these market rent growth, we are thinking over the long term. And so they're closer to our long-term averages. And then in some instances, where again, some submarkets in Northern California where the affordability metrics, the future look on supply as well as some positive traction we're seeing in terms of potential demand. Those are the types of investments where we might be a little bit more aggressive in the near term as a catch-up on rent.
James Feldman: And then just thinking about your comments on the urban markets getting a little healthier on the turn. Like do you think you might get more -- you could get more aggressive, find better value buying in the urban markets now given what you think you're seeing or do you think you'll keep the portfolio balance? I know you kind of buy what you can get that hits your IRRs. But is there a play there of getting more aggressive in the cities, given that they've been more challenged?
Rylan Burns: It's certainly something that we're evaluating. We've seen much fewer transactions in the urban core across our markets, but they're starting to see some more product come to market, and that's something that we're certainly evaluating. Again, the majority of our portfolio located in great suburban markets near transportation nodes. That's kind of our bread and butter, but we will look at anything and everything has a price. So we are excited to potentially see some more opportunities throughout all of our markets in the coming quarters.
James Feldman: Okay, great. Thank you.
Operator: Our next question comes from the line of Connor Mitchell with Piper Sandler. Please proceed with your question.
Connor Mitchell : Thanks for taking my question. So there's been a lot of discussion on the bidding wars and cover environment and a lot of transaction activity. Just thinking about that and then maybe also the prospect of Fed rate cuts. Just wondering, does that increase opportunities for the preferred and mezzanine business investments? Or are you guys kind of weighing more on the acquisition opportunity still.
Rylan Burns: Yes. As you can see from our activity to date, we've been very focused on acquiring high-quality fee simple ownership properties and not that's kind of our base case. We are open to the preferred and the mezz investments, and we are pursuing several. So it's not that we've shut that off. That's really a large portion historically of our mezz investments have come as a result of development opportunities. So as the development pipeline has slowed considerably in the past year. There's just fewer opportunities for us to deploy in the prep space. So we are open, and I think we're well known within our markets as being a great partner for that product, and so we will continue to pursue. But as a result of supply coming down and the new development starts coming down, there's just been fewer opportunities.
Connor Mitchell: Okay, appreciate it. And then in the opening comments, I think it would discuss the strength of Seattle. It's seeing less of an impact from supply and some more return to office. Just wondering if you guys can give an outlook on those two items for the Seattle market going forward in the back half of the year?
Angela Kleiman: Sure, thanks. Seattle is an interesting market in that it's one of our more evolving markets because of supply. And what's interesting here is we originally had expected Seattle to continue to outperform in the second half. But now the supply got pushed it's going to end up being an offset because Seattle last year in the second half had fallen quite a bit. And so it has this odd combination of easier year-over-year comp, but now more supply. So it probably often to something neutral and slightly better.
Operator: Our next question comes from the line of John Kim with BMO Capital Markets. Please proceed with your question.
John Kim : Thank you. I wanted to follow up a couple of times rather than mentioned cap rates in mid- to high 4% range and rent growth expectations Rylan, I think you mentioned with a lot the rents were 15% pre-COVID levels. Is that the level of rent growth that you and competitive buyers are looking at today on acquisitions?
Rylan Burns: Just for clarity, those rents are about 15% below pre-COVID levels, and we are not anticipating that snaps back tomorrow, but we know that given the strong income growth we've seen in this submarket as well as what we feel is coming through the COVID and slowdown in the tech market that the fundamental setup is attractive, and I wouldn't be surprised if we recovered those rent growth within several years. So that is a factor. As to what our peers are doing, we are seeing some assets trade that we're not -- we're staying disciplined on at levels that don't make a lot of sense to us. So I do think there are other participants in the market underwriting even more aggressive rent growth in some of these submarkets. So it's difficult to parse through exactly what our competitors are underwriting. But in general, it feels like there's been a lot of capital demand and excitement about Northern California, given the fundamental setup that we've been talking about for a couple of years now.
John Kim: And it seems on this call, there's been a lot of discussion on pricing power and some favorable trends your rent-to-income ratios are improving in your markets, and it seems to be some of the lowest in the country. Should we think about renewal rates exceeding the 5% that you've been getting recently?
Angela Kleiman: John, if we had reached our peak, then that would be more of a likelihood. But at this point, what we're seeing is renewal rates trending downward. And relative to the prior months, it's been gradual. So the good news is it's not a huge deceleration. But from June to July, it's about 30-ish basis point cell and renewal ultimately will converge toward market rent. So that will be possible if suddenly there's a massive amount of job growth and demand and that -- and then the market rents take off, but that's not a likely scenario that we are seeing at this point in time.
Operator: Our next question comes from the line of David [indiscernible] with Essex Property Trust.
Unidentified Analyst : Thank you. I was curious if you could provide some color on what is changing with the multifamily supply forecast and whether some deliveries are being pushed into next year. And to the extent that you can comment on the outlook for 2025 supply growth relative to this year. Thank you.
Barb Pak: Yes, this is Barb. So in -- as it relates to our 2024 forecast for supply, some properties in really Southern California were delayed more than we thought. And it's about 2,700 units effectively were pushed into next year. And in Seattle, some of our delay adjustments were too hard and they're delivering this year. So we pushed up some of the Seattle supply by about 2,000. So there's net a small reduction to our supply for multifamily this year. And then as we look to next year, we think Southern California will be slightly higher because of the delays that occurred this year. Northern California will be pretty neutral to this year, San Jose up slightly, but offset by lower supply in Oakland and then Seattle pretty neutral. So overall, it's going to be up a little bit, but our forecast right now calls for supply to be very muted 50 basis points of total stock, similar to this year, so no material change.
Unidentified Analyst: Great. And I'm curious, how does the delinquency issues in your portfolio compared to the broader market? And to what degree could delinquencies and the rest of the market still create some overhang in terms of competition for newly listed units.
Angela Kleiman: Yes, that's a good question. We have very little visibility when it comes to the broader market. The one thing that we can tell is that when the entire state of California was going through the -- started going through the delinquency process, the court had a huge backlog, and it took about 12 months to process it and now it's down less than six months. And that's been a direct correlation to our ability to recover delinquent units and the related improvement in that area. And so as we see this improvement continues and as Barb mentioned, it could be lumpy. But if you look at it over blocks of time, say, a three-month period, it has continued pretty steadily. It wouldn't -- it would be surprising for that delinquency to increase suddenly and it's extremely. Obviously, the core processing time is key. And so as long as that whole study, then we should be in good shape.
Operator: [Operator Instructions] Our next question comes from the line of Wes Golladay with Baird. Please proceed with your question.
Wes Golladay: Hello everyone. Just want to talk about the developer environment right now on the West Coast. It's been a very tough cycle. Are you seeing any developers exit the market permanently?
Rylan Burns: Yes. I think there was news actually just last week of an Atlanta-based developer that's decided to pull out of the West Coast. And given this is not surprise to us given what we've long said is a very challenging environment to develop in. So we're aware of it. And to be honest, we're not that concerned, fewer developers means less competitive product in the near future and should create additional opportunities for Essex.
Wes Golladay: Yes, that's what I was kind of going with. I mean I think you mentioned you had a -- you're targeting 100 basis point spread versus acquisitions as I figured you might be able to develop more countercyclical at this time. Can you comment on where your spread would be today, how much further it has to go?
Rylan Burns: That estimate is current today. Again, it's all dependent on our fundamental outlook for the specific submarket where we can acquire land at a regional basis that can really drive the numbers. And then we're tracking hard costs very closely. So I'd say we're closer today than we've been in many years. We haven't started a new development in almost four years. And so -- we've been really disciplined. We know it's very challenging to effectively develop and create value for shareholders through that process. So we're going to continue to be very disciplined. But the company has a long history of stepping in at bottom of the cycle, and we are cautiously optimistic that we're going to be able to rebuild that pipeline in the near future.
Wes Golladay: That’s helpful. Thank you.
Operator: Our next question comes from the line of Ami Probandt with UBS. Please proceed with your question.
Ami Probandt: Hi, thanks. Bad debt ticked up a bit in Southern California, excluding L.A. County. So I'm wondering if that's lumpiness or if you're seeing residents potentially having difficulty paying or potentially signs or resurgence and bad actors.
Barb Pak: Yes, this is Barb. The numbers do bounce around month-to-month, that's why we tend not to like to publish the monthly numbers because there is noise every month. So we're not overly concerned about it, nothing to flag there. It's just monthly noise.
Ami Probandt: Great. Thanks for confirming. And then in terms of move-outs, have there been any notable changes recently in reasons for move out?
Angela Kleiman: This is Angela here. Our reasons to move-out has remained steady. It's mostly job changes or change in households and that's remained relatively consistent.
Ami Probandt: Great. Thank you.
Operator: There are no further questions at this time. I'd like to turn the call back over to Angela for closing remarks.
Angela Kleiman: Well, thank you all for joining the Essex call and for all your questions, and we look forward to seeing all of you real soon.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.